Operator: Good day, and thank you for standing by. Welcome to the Altisource Portfolio Solutions Second Quarter 2025 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker, Michelle Esterman, Chief Financial Officer. Please go ahead.
Michelle D. Esterman: Thank you, operator. We first want to remind you that the earnings release and quarterly slides are available on our website at www.altisource.com. These provide additional information investors may find useful. Our remarks today include forward-looking statements, which involve a number of risks and uncertainties that could cause actual results to differ. Please review the forward- looking statements section in the company's earnings release and quarterly slides as well as the risk factors contained in our 2024 Form 10-K and our 2025 Form 10-Q filings. These describe some factors that may lead to different results. We undertake no obligation to update statements, financial scenarios and projections previously provided or provided herein as a result of a change in circumstances, new information or future events. During this call, we will present both GAAP and non- GAAP financial measures. In our earnings release and quarterly slides, you will find additional disclosures regarding the non-GAAP measures. A reconciliation of GAAP to non-GAAP measures is included in the appendix to the quarterly slides. Joining me for today's call is Bill Shepro, our Chairman and Chief Executive Officer. I will now turn the call over to Bill.
William B. Shepro: Thanks, Michelle, and good morning. I'll begin on Slide 4. We are pleased with our second quarter performance. In a close to historically low delinquency environment, we grew service revenue, adjusted EBITDA, pre and post-tax GAAP earnings and GAAP earnings per share compared to the second quarter of last year. This is largely from our focus on growing our businesses that have tailwinds, cost discipline, lower interest expense and the reversal of certain tax reserves related to our India operations. Turning to Slide 5. Compared to the second quarter of last year, we grew total company service revenue by 11% to $40.8 million and adjusted EBITDA by 23% to $5.4 million. Service revenue growth primarily reflects the ramp of the Renovation business and growth in the Lenders One and Foreclosure Trustee businesses. The improvement in total company adjusted EBITDA was largely from both business segments service revenue and adjusted EBITDA growth, partially offset by a modest increase in the corporate segment's adjusted EBITDA loss. The business segments generated $12.8 million of adjusted EBITDA, representing an 11% or $1.3 million improvement compared to the second quarter of 2024. The corporate segment's adjusted EBITDA loss of $7.5 million was slightly higher than the second quarter of last year. From a GAAP perspective, income before tax improved to $200,000 in the second quarter of 2025 compared to a loss of $7.6 million in the second quarter of 2024. This was primarily driven by higher adjusted EBITDA and lower interest expense from the new debt. Net income attributable to Altisource improved to $16.6 million in the second quarter of 2025 compared to a net loss of $8.3 million in the same quarter of 2024. The improvement in net income reflects an income tax benefit from the reversal of certain tax reserves related to our India operations. We ended the quarter with $30 million in unrestricted cash. Moving to Slide 6 and our largely countercyclical Servicer and Real Estate segment. Second quarter 2025 service revenue of $32 million was 10% higher than the second quarter of 2024, primarily from the ramp of the Renovation business and growth in the Foreclosure Trustee business. Second quarter 2025 adjusted EBITDA of $12 million for the segment was $900,000 or 8% higher than the second quarter of 2024. Adjusted EBITDA margins declined to 37.4% from 38.1%. Adjusted EBITDA growth primarily reflects service revenue growth and lower SG&A. The slight decline in margins is from revenue mix with higher growth in the lower-margin Renovation business. Slide 7 provides a summary of our servicer and real estate sales wins and pipeline. For the second quarter, we won new business that we estimate will generate $1.1 million in annual service revenue on a stabilized basis over the next couple of years. We ended the quarter with the Servicer and Real Estate segment estimated total weighted average sales pipeline of $25.3 million of annual service revenue on a stabilized basis. Moving to our Originations segment on Slide 8. Second quarter 2025 service revenue of $8.8 million was 13% higher than the second quarter of 2024. Adjusted EBITDA of $900,000 was $400,000 or 81% better than the same quarter last year. The increase in service revenue primarily reflects growth in the Lenders One business. Adjusted EBITDA growth primarily reflects stronger margins and service revenue growth. Slide 9 provides a summary of our Origination segment sales wins and pipeline. Our focus on helping our Lenders One members save money and better compete continued to drive substantial interest in our solutions. On an annualized stabilized basis, we won an estimated $3.3 million in new business in the second quarter. Our estimated weighted average sales pipeline at the end of the quarter was $14.7 million. We are pleased with the progress we are making in developing our sales pipeline and are optimistic that our sales pipeline and recent sales wins will contribute to growth in our Origination segment. Before discussing our Corporate segment, please turn to Slide 10 where we list the 5 businesses that we believe represent an outsized growth opportunity for Altisource over the next couple of years. These businesses include Renovation, Granite Construction Risk Management, Lenders One, Hubzu Marketplace and Foreclosure Trustee. On this slide, we provide a summary of the opportunities and the status of each. What's important is that the success of these initiatives does not depend on an increase in foreclosure starts or sales nor on a growing residential loan origination market. As you can see from the slide, we believe we are making solid progress against these initiatives and are optimistic that these initiatives represent a strong growth engine for the company. Of course, should the U.S. economy deteriorate or origination volumes grow, we should be able to accelerate our growth even more. Turning to our Corporate segment on Slide 11. Second quarter 2025 corporate adjusted EBITDA loss of $7.5 million was $300,000 higher than the second quarter of 2024, largely from a prior year tech and comm benefit and higher unrealized foreign currency exchange losses. Moving to Slide 12 and the business environment in which we operate. Starting with the residential mortgage default market, 90-plus day mortgage delinquency rates remain near historic lows at 1.2% in May. Foreclosure starts increased by 15% in April and May of 2025 compared to the same period in 2024. However, April and May 2025 foreclosure starts were 29% lower than the same period in 2019. Foreclosure sales for April and May of 2025 increased by 10% compared to last year, but were 47% lower than the same period in 2019. For the origination market, industry-wide origination unit volume increased by 27% in the second quarter compared to the same quarter of last year, with purchase origination volume up by 5% and refinance activity increasing by 89%. For the full year, MBA's July 2025 forecast projects there will be 5.6 million loans originated in 2025, a 12% increase compared to the full year of 2024 and 3% lower than the MBA's April 2025 forecast. Turning to Slide 13. In closing, we are pleased with our second quarter results. We have a strong sales pipeline, are winning new business and ramping sales wins while maintaining cost discipline and significantly reducing corporate interest expense. To support longer-term growth, we are focusing our efforts on accelerating the growth of those businesses that we believe have tailwinds in what remains a close to historically low delinquency environment. Should loan delinquencies, foreclosure starts and foreclosure sales increase, we believe we are well positioned to also benefit from stronger revenue and adjusted EBITDA growth in our largest and most profitable countercyclical businesses. I'll now open up the call for questions. Operator?
Operator: At this time, we will begin our Q&A session. [Operator Instructions] Our first question comes from the line of Shachar Minkove with Napier Park Global.
Shachar Minkove: I wanted to just -- one piece that sort of jumped out at me on the cash flow statement, and it looks like there's a pretty meaningful working capital build. Just trying to understand what that is?
William B. Shepro: Shachar, it's Bill. Yes, with respect to working capital, I think there's sort of normal working capital activities that are being managed. I wouldn't say there's anything that unusual in the quarter.
Operator: [Operator Instructions] I am showing no further questions at this time. I would now like to turn the call back to Bill Shepro for closing remarks.
William B. Shepro: Thank you, operator. We're pleased with our second quarter performance and believe we are set up well. Thanks for joining us today. Have a good day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.